Operator: Good morning, and welcome to Fiera Capital's earnings call to discuss financial results for the second quarter of 2025. I will now turn the conference over to Natalie Medac, Director, Investor Relations. You may begin your conference.
Natalie Medak: Thank you, and good morning, everyone. Welcome to the Fiera Capital conference call to discuss our financial results for the second quarter of 2025. A copy of today's presentation can be found in the Investor Relations section of our website. Comments made on today's call, including replies to certain questions, may deal with forward-looking statements, which are subject to risks and uncertainties that may cause actual results to differ from expectations. Please refer to the forward-looking statements on Page 2 of the presentation. Our speakers today are Maxime Menard, Global President and CEO, and Lucas Pontillo, Executive Director, Global CFO and Head of Corporate Strategy. Also available to answer questions will be John Valentini, President and CEO, Private Markets. With that, I will now turn the call over to Maxime.
Maxime Ménard: Good morning, everyone. Thank you for joining us today as we report our results for the second quarter of 2025. The second quarter began with a challenging macro environment and a sharp decline in global equity markets. While markets quickly rebounded, ending the quarter higher, a weaker U.S. dollar tempered returns for non-U.S. investors. Our assets under management ended the quarter at $160.5 billion, flat from the end of the prior quarter, excluding the previously announced wind down of our Canadian equity small and microcap strategies. Robust new mandates of $1.7 billion and market gains, which included an unfavorable foreign exchange impact from the weaker U.S. dollar, were offset by negative net contribution in the quarter. Assets under management in our public market platforms were $139.6 billion, down slightly from the prior quarter, reflecting the wind down of the previously mentioned strategies. Strong new mandate activity primarily into our equity strategies and market gains were largely offset by negative net contribution, mostly out of the lower-fee fixed-income strategies. Assets in our private market platform ended the second quarter at $20.9 billion, down slightly from $21.1 billion at the end of the prior quarter, reflecting the return of capital to investors and income distribution. I will now turn to highlights of our commercial and investment platform across our asset classes, starting with our public market platform. We were pleased to secure total new mandates of $1.4 billion during the quarter, of which close to $1 billion went into our equity strategies. This marks the highest level of new mandate activity in more than 2 years and reflects growing momentum in our sales channel. We had several notable wins during the quarter. First, we launched the Qatar equity strategy in partnership with and initially funded by QIA. The strategy, which has an initial investment of USD 200 million, invests in equity listed on the Qatar Stock Exchange and will be available to international and local institutions desiring to actively manage exposure to the Qatar equity market. Fiera was also selected by ATB Investment Management to manage their U.S. large-cap equity fund, which will be available to their adviser base and will be a building block for the global equity pool. These are the first new funds ATB has launched in many years. Lastly, our Canadian large-cap equity team was selected by Wellington Altas to manage their Canadian high-conviction equity strategy. Both the ATB and Wellington Altus mandates will fund over time and carry significant growth aspirations. Excluding sub-advised assets under management, net outflows were $450 million for the quarter, largely out of lower-fee fixed- income strategies. We were pleased with the demand for our equity strategies in the quarter, which experienced net inflows of close to $400 million. With respect to our sub-advised assets under management, total net outflows were $1.1 billion, of which approximately $700 million were withdrawn by clients with whom we continue to have an ongoing relationship. Turning to the investment performance in public markets. The quarter began with a sharp drop in the global markets, triggered by tariff announcements in early April, with the S&P 500 falling over 12% within a few days. Although markets rebounded, the initial shock created a challenging environment for equities outperformance, with much of the rebound driven by speculative interest in tech and AI-related stocks. While all of our flagship equity strategies delivered positive absolute returns in the quarter, value added was mixed. Our Canadian equity strategy had top-quartile performance year-to-date, beating its benchmark by 250 basis points. And our Atlas Global strategy outperformed its benchmark, adding close to 180 basis points of value year-to-date, helped by overweight exposure to the technology sector. Our emerging market select strategy remains top-ranked and outperformed the benchmark by 380 basis points year-to-date and close to 10% since its inception in 2021. Our frontier market strategy also had a first quartile ranking year-to-date, but underperformed its benchmark for the quarter, impacted by selection in Vietnam and overweight to the Saudi Arabia market. Despite some short-term softness, the strategy has outperformed by more than 14% over the 5-year period. Our fixed income strategies continue to outperform for the quarter and year-to-date with our active strategic and integrated core strategies, all adding value in both the short and long term. Within our foreign fixed income strategies, our global multi-sector income strategies added over 80 basis points of alpha for the quarter and outperformed by close to 5% for the 5-year period. Now, turning to our private market platform. New subscriptions exceeded $200 million for the quarter, primarily into our real estate and private debt strategies, and with returned capital of more than $200 million. During the quarter, we deployed approximately $600 million of capital and have deployed $1.1 billion year-to-date. Our pipeline remains robust with $1.3 billion of committed undeployed capital for future opportunities. With respect to performance, our private market strategies continue to perform well, with our key strategy generating positive returns in the second quarter and absolute returns of 5% to 12% over the 1-year period. Within private credit, our infrastructure debt fund returned more than 2% in the quarter and close to 12% over the 1-year period. The strategy remains well-positioned to deploy capital through the second half of the year. In real estate, our Canadian and U.K. strategies produce steady returns, supported by high occupancy and durable income streams. Our portfolios remain concentrated in logistics and housing, which are well-positioned to benefit from improving liquidity and central bank easing. And our global private equity strategy returned 2.4% in the second quarter with a gross IRR of close to 15% since inception. The strategy continues to prioritize businesses with resilient cash flows, scalable models, and a defensive market position. Turning now to Private Wealth. Private wealth assets under management of $13.7 billion were down 3% during the second quarter. While we captured close to $100 million in new mandates, the quarter was impacted by negative net contribution mainly out of sub- advised assets and fixed income mandates. We view the private wealth business as highly complementary to our public and private market platforms and continue to work to strengthen client relationships and drive sales growth through that channel. To that end, we appointed Paul De La Roche to Head of Private Wealth Canada earlier this year. Paul brings 20 years of industry experience to the role and has been instrumental in delivering discretionary investment management services to affluent Canadians and their families. With that, I will turn it over to Lucas to review our financial performance.
Lucas Emilio Pontillo: Thank you, Maxime, and good morning, everyone. I will now review the financial results for the second quarter of 2025. Beginning with total revenues. Across our investment platforms, we generated total revenues of $163 million in the second quarter, down slightly from $165 million same quarter last year. Total base management fees were $148 million in the quarter, down $1 million or 1% year-over-year. On a year-to-date basis, however, total base management fees of $302 million were up approximately 1% from the same period last year, as we were able to more than offset a decline in fees in public markets with higher base management fees in private markets. We are pleased to note that year-to-date, our overall fee rate has remained stable compared with the same period last year, as relative AUM growth from private markets and steady private market fee rates have offset modest fee reductions in public markets. Turning to public market revenues. Base management fees of $98 million in the second quarter declined by $5 million or 5% from the same quarter last year, reflecting outflows from sub-advised mandates, partly offset by higher fees from institutional clients in Canada and Asia. On a year-to-date basis, base management fees of $204 million declined 3% from the same period last year. Performance fees were 0 during the quarter, down from fees of less than $1 million in the same quarter last year. Other revenues of $1.6 million in the quarter were down from $3.8 million in the same quarter last year, largely as a result of revenues related to a prior year insurance claim. Turning to private market revenues. Base management fees increased by $4 million or 8% year-over-year to $49 million for the quarter. The increase was primarily driven by higher AUM within real estate and agriculture from the acquisition of a controlling interest in a U.K. real estate platform in the prior quarter, along with higher deployed AUM. On a year-to-date basis, base management fees of $99 million were also up 8% from the same period last year. Commitment and transaction fees of $5 million were $1 million higher year-over-year, reflecting higher transaction fees earned from clients in the EMEA region. And performance fees of $2.5 million in the quarter were close to $1 million higher year-over-year, reflecting higher fees from our Canadian real estate debt fund in the current quarter. Share of earnings in joint ventures related to our U.K. real estate business were $2 million in the quarter, down slightly from $2.7 million in the same quarter last year as a result of the timing of completion of joint venture projects. On a year-to-date basis, earnings from joint ventures of close to $5 million were down from $9 million in the same period last year, again, as a result of the timing of completion of projects. For the quarter, private markets generated 38% of total revenues while comprising only 13% of our total assets under management. Private markets continue to drive AUM and revenue growth and provide attractive diversification to our overall business. Turning to SG&A. Last quarter, we announced we had taken actions to streamline the organization and improve operating efficiency. Compared to the prior quarter, our SG&A expenses, excluding share-based compensation, were down $2 million or 2%, aided by a 3% decline in our fixed compensation expenses quarter-over-quarter. Compared to the same quarter last year, SG&A expenses, excluding share-based compensation, declined $2 million or 2%, driven by lower sub-advisory fees, primarily offset by the acquisition of a noncontrolling interest in the U.K. real estate platform in the prior quarter. On a year-to-date basis, SG&A expenses, excluding share-based compensation, were down $5.5 million or 2% from the same period last year. We continue to closely monitor the macroeconomic environment and prudently manage expenses in response to changes in market volatility. Turning to adjusted EBITDA and adjusted EBITDA margin. Adjusted EBITDA for the quarter was $45.7 million, up 1% from the same quarter last year, reflecting higher base management fees in private markets and lower SG&A, excluding share-based compensation, partly offset by lower base management fees in public markets. Our adjusted EBITDA margin was 28% for the quarter, up from 27.5% for the same quarter last year and up from 26.6% in the prior quarter. Looking at earnings. Net earnings attributable to company shareholders were $4 million or $0.03 per diluted share for the quarter, compared with $5 million or $0.04 per diluted share for the same quarter last year. Earnings in the second quarter were impacted by a $6.9 million charge of previously announced restructuring costs related to severance. On an adjusted basis, net earnings were $27 million or $0.24 per diluted share for the quarter compared with $25 million or $0.23 per diluted share in the same quarter last year. The last 12 months' free cash flow was $75 million compared with $87 million for the prior quarter. The decrease primarily reflects higher restructuring charges in the current quarter and the timing and collection of accounts receivable during the quarter. Turning to our financial leverage. During the quarter, we issued $80 million of 7.75% hybrid debentures, which we expect to use to fund the redemption of our 8.25% hybrid debentures on the first call date at the end of this year. In the interim, net proceeds from the offering are being used to reduce the balance on our credit facility. Net debt at the end of the quarter was $712 million, up $9 million from the end of the prior quarter. The increase reflects 2 dividend payments totaling $34 million and the repurchase and cancellation of shares totaling $6 million, which were partly offset by higher free cash flow generated during the second quarter. Going forward, net debt is expected to decrease as we redirect a portion of our savings from the lower dividend to debt repayment and generate higher free cash flow in the second half of the year. Our net debt ratio was consistent with the prior quarter at just over 3.6x. Our funded debt ratio, as defined by our credit facility agreement, decreased to just under 3x from 3.3x in the prior quarter. The decrease reflects the decline in the credit facility from the debenture offering proceeds. Finally, delivering value to our shareholders continues to be a fundamental pillar of our strategy. During the quarter, we repurchased and canceled 1.1 million shares for a total consideration of $6.3 million. Lastly, the Board has approved a quarterly dividend of $0.108 per share payable on September 18, 2025, to shareholders of record on August 20, 2025. Now I'll turn the call back to Maxime for his closing remarks.
Maxime Ménard: Thank you, Lucas. Last month, I was privileged to step into the position of Global President and Chief Executive Officer. I am honored to succeed Jean-Guy Desjardins, whose founding vision and entrepreneurial drive built the firm into the global organization that it is today. And I am grateful for his continued presence and support as we enter this next chapter. Fiera is well-positioned for success. We have established a public markets platform with scale and investment capability, breadth, and depth. Our private market platform remains a catalyst for growth, generating an increased share of our AUM and revenue. And our complementary private wealth business offers institutional-grade investment advice and capabilities to the rapidly growing high net worth segment. This diversified model both provides us with the resiliency to weather difficult markets and positions us strongly for future growth. Moving forward, several priorities will remain central to my mandate. First, delivering consistent investment performance remains key to our success. We must ensure every strategy meets the highest standard through full market cycles. Second, we will continue to offer our clients a consistent and connected experience. Next, we will run lean and efficient operations. We will simplify how we work, modernize our infrastructure, and reinvest in the tools and people that help us grow and focus on discipline. Lastly, our success depends on our people. Fiera has always had an entrepreneurial spirit, and we will continue to encourage initiatives and foster a culture of ownership and inclusion. Myself and the senior management team are deeply invested in the company and its success, and I am excited to continue executing on our strategy and building momentum in our business. I will now turn the call back to the operator for questions.
Operator: [Operator Instructions] And your first question will be from Etienne Ricard at BMO Capital Markets.
Etienne Ricard: So to start on private markets, I'm wondering what appetite are you seeing from investors given the strong market appreciation that we've seen in recent months? And would you say there's greater interest in the institutional or the retail channel?
Maxime Ménard: So certainly, like we've seen, it's a constant level of appetite for private market solutions in the institutional business. I would say there's slightly more interest in this cycle, particularly as institutional managers are considering increasing their proportion to private markets. And if we slice it a little bit more, obviously, with the performance of our real estate core funds, we are seeing lots of RFPs and demand in that cycle of the market. So we've seen our real estate fairly successful, and also credit. As we mentioned before, the agriculture fund within our Comox has also had lots of demand. So I would say from a secular standpoint, the private wealth business is certainly moving towards the trend of increasing the level of open-ended private market solutions. We were first to come out in the market with these solutions, and a lot of competitors are sort of catching up on to this, but it's generating a lot of appetite in the private wealth segment. And again, we continue to have a lot of interest in our private market solution within the institutional market. And I would say, as we look forward, we anticipate this trend to continue.
Etienne Ricard: And Maxime, you raised real estate, credit, and agriculture. I know they're all growing, but which one of these would you expect to outperform?
Maxime Ménard: From an investment standpoint or from an AUM growth standpoint?
Etienne Ricard: AUM growth.
Maxime Ménard: Yes. So agriculture has shown a lot of interest. I would say, historically, it used to be a subclass of the infrastructure asset class on a global basis, additionally. There's an increasing number of consultancies that are covering the agriculture segment. We've seen a lot of appetite. The performance is obviously well. And so I would say this is one that we see a lot of global demand from that standpoint, and global being such a larger market by definition, we should see a lot of pickup on that. Our Canadian real estate has performed very well. So here in Canada, it's a limited market, but we see lots of growth there. We're currently exploring and concluding a number of agreements on the international side of things to export our real estate capabilities from an investment standpoint. So, whether it's in Germany or even in the U.K., we've built a vehicle to make this possible through UCITS, and we've concluded some agreements to increase distribution. So I would say these 2 would certainly be top of mind in terms of our ability to continue to accelerate growth.
Etienne Ricard: So switching topics, there was good margin expansion in the quarter. Lucas, I think you previously talked about a 30% EBITDA margin target. What are some levers that you can pull to get there, and over what time frame?
Lucas Emilio Pontillo: I think there are 2. So starting on the top line, as Maxime has pointed out a couple of times during the call, the continued growth in private markets just continues to enhance our product mix and our asset mix, and our revenue profile as a result. And in addition to the base management fees that come with that revenue, when we talk about strategies like agriculture, it's the performance fee aspect of that, and sort of how that can help enhance the top line. So we do see the opportunity for revenue expansion going forward from a pure [BEEs] perspective and asset mix. And then following on that, the continued ability to just standardize, globalize our expense structure. I think we've made great strides in the last quarter in terms of the restructuring we put through. And we'll continue to hone and work on that going forward to really continue to drive operating leverage there.
Etienne Ricard: I know you present margins on a consolidated basis across private and public markets. But we tend to see better margins for alternative asset managers as opposed to traditional asset managers. So I'm curious if the mix shift towards private AUM should be helpful in this regard. Is that a fair assessment?
Maxime Ménard: It is a fair assessment. As I say, I think coming back to the point that the revenue profile of those assets as well are also attractive from that perspective.
Operator: The next question will be from Gary Ho at Desjardins Capital Markets.
Gary Ho: Maybe to start off with the sub-advisory outflows here. So there's $1.1 billion, as you highlighted in the quarter. What's driving that in the quarter? Is it rebalances? Or has there been softer performance recently? I'm just trying to reconcile that with something on Slide 14, just seeing softer near-term performance in the equity strategy. Wondering if that's related to PineStone. And if not, wondering if you can comment on what's driving that.
Lucas Emilio Pontillo: Yes, I'll start and then maybe hand it over to Maxime on the performance piece. So just to clarify, the $1.1 billion, so $400 million of that is lost mandates and $700 million of that is clients we continue to have, and it's just a rebalancing, effectively, of their portfolios or paring down of the investment strategies. To be clear, this is not any transfers to PineStone. So the $1.1 billion is effectively a net loss in both cases. So this is $400 million of clients who have redeemed out of the strategy altogether, and $700 million of clients who continue to invest in the PineStone sub- advised strategies but have just reduced their exposure.
Gary Ho: And the performance?
Maxime Ménard: So yes. So I would say that the 1-year performance with the current macro environment has been a challenging environment, particularly with the concentration of where the performance is coming from. As you know, we keep a close eye on how these different mandates perform, particularly when it comes to our largest asset base, including PineStone. There's no notable change or shift in terms of style or whatnot. So what we do in those instances, obviously, from a client support standpoint, we make sure we stay really close, increase the client activity and engagement. But when we relate back to is this something that is of a level of concern from a style process standpoint, absolutely not when it comes to how attribution is being allocated. It's a number of small stocks here and there, or a bigger proportion of the index, that makes it hard. But again, we will keep monitoring and keeping a close eye on this.
Gary Ho: And then maybe just a numbers question on the back of that for you, Lucas. Just the PineStone's $36 billion of assets. Should we think about those assets generating roughly the 30 to 40 basis points kind of similar to your overall management fees that you generate off of your consolidated AUM?
Lucas Emilio Pontillo: I mean you need to think of it in align, Gary, in terms of the 3 types of strategy there. So global equity, international equity, and U.S. equity each one of those has their own sort of fee profiles in terms of the market. So I would say, certainly on the global side, they tend to range at the higher end, and U.S. equities are becoming a bit more commoditized than the U.S. market.
Gary Ho: And then my last question, maybe a broader question. There's some M&A activity in the space in Canada recently, Burgundy and also closing of CI. Maxime, maybe perhaps, John, are you guys at all looking at tuck-in opportunities, or just commenting on the M&A landscape in general? And would there be anything that you're looking to sell at all on the other side?
Maxime Ménard: So, obviously, I keep an eye on all of this with keen interest from a valuation standpoint at our own company. I think these are being traded at very, very healthy multiples. Are we looking for an opportunistic tuck-in? I would say we're always interested in what's out there. Currently, the investment platforms, I think, are in a good position. There's no immediate need for us to add anything, but we're being watchful in case there is something. In terms of divestiture, not really. I think when you think about how Fiera has built the investment platforms, we are where we want to be. Now, the next part of the chapter is really to focus on making sure that we grow through our regionalization distribution. So if there are any opportunities on a go-forward basis through either a team or a small tuck-in, we'll look at it. But right now, there's no immediate consideration for that.
Lucas Emilio Pontillo: And I would add, Gary, thank you for the question. I'd actually turn around from the perspective of saying, and you've heard me on this before in terms of just our overall sum of the parts valuation and how to look at our business. We've got a fantastic Canadian private wealth franchise that generates close to $12 billion of assets under management. We are one of the few in the market that can actually have a very nice diversification of private market assets, offering to our clients in that space. From a revenue profile, it's a platform that generates not only advisory fees but also investment management fees to the underlying investment platforms, particularly in private markets. So when you compare it to some of the transactions that have cleared the marketplace, which I'd qualify probably more as a bit more plain vanilla in terms of private wealth offering compared to the sophistication of what we offer here. So there's room for pause to think about our overall valuation, I think.
Gary Ho: No, Lucas, that's exactly where I was going with this. Just wondering if there's a continuing disconnect between the share valuation and where some of these transactions are changing hands, whether there's some opportunity to realize shareholder value. That's kind of where my line of questioning is going.
Operator: Next question will be from Jaeme Gloyn at National Bank Financial.
Jaeme Gloyn: Yes. Just one question. I wanted to dig in on the fee rates. By my calculations, it looks like fee rates across the total platform, but also for public and for private markets, base management fee rates, I'm talking about declined quarter-over-quarter, and declined year-over- year. I would have expected to see something like the opposite, given you seem to be losing more low-fee mandates. Maybe you can sort of talk through that performance and your expectations on a go-forward basis.
Maxime Ménard: Yes. I'd break it down into 2. You have to look at it sort of pre- and post, I think, the sub-advised mandates. So let's not forget there was a large Cano redemption in the first quarter of the year, which we well communicated and telegraphed. And so certainly, when you have mandates coming out there from an overall perspective, there's an impact. But if you look at it sort of ex those sub-advised mandates, you're absolutely right, Jaeme. What we've been losing is lower fee fixed income mandates, and actually gaining in our other equity strategies and our other private market strategies. So when you're taking the aggregate and the full blend, obviously, there's this impact of the Canoe mandate loss at the beginning of the year. But if you look at it ex that, we're actually in accretion mode and the product mix shift has actually been positive.
Jaeme Gloyn: Maybe we'll dig in offline, or maybe some more disclosures to help see that flow through. It's just hard from the higher-level data from what I can tell, but happy to chat offline.
Operator: [Operator Instructions] And your next question will be from Graham Ryding at TD Securities.
Graham Ryding: Some good traction in the last few months with Qatar and ATB Le and Altus. Can you try to frame what your expectations or your targets are from these relationships? Like what AUM growth or inflows do you think you would like to see, or as much as possible from these mandates?
Maxime Ménard: Well, again, like I don't want to go too aspirational on this, but they're certainly transformational in the way we operate within that segment of the market. And I do want to reemphasize that we had announced a few quarters ago that we were going to concentrate on that space of the market, which is the segment of the advisory business. I think these 2 are fast-growing platforms, and we made sure that we were part of a lineup where we had a big proportion of the asset within that asset class. So if I think of any of them, whether it's ATB or Wellington, I could easily see a double of assets over the near to midterm in terms of the asset flow. And as we progress, again, based on performance, I am hopeful that this will continue at a pretty accelerated pace. So again, whether it's Canadian equities or even the U.S. large-cap mandates, these are almost exclusive in the nature of their own mandate on the platform. So most of the flows that would either go in one or the other would see a lot of flows coming in. So again, on the U.S. large cap, I think the mandate is near $500 million, and we are hopeful to see a double on that over the next 6 to 12 months. And I would see the same thing for Wellington Altus. We're also in discussions with a few other intermediary solutions and providers. And I think those discussions are coming along really nicely.
Graham Ryding: And were there any flows like out of the gate from ATB or Wellington Altus? Like, were those in your numbers this quarter? Or is this something that we should just be watching for that is going to build over time?
Maxime Ménard: So they gradually came through in Q2, and there's more to come for future flows.
Graham Ryding: Private wealth, just the outflows in the quarter. I think you made some comments, I apologize if I missed it, channel. I just maybe some color on what drove the outflows on the private wealth channel this quarter.
Maxime Ménard: Again, there was no one particular reason of outflows. I think in the private wealth, we've seen some of it related to -- again, I mentioned fixed income and some sub-advisory within the PineStone mandates. Again, I don't think there's one common theme in private wealth. This is more about regular outflows that are exceeding our gross contribution, but there are no common themes that I could really speak to in terms of why we've seen this. Again, I think on the backdrop of a very uncertain macro environment, there may be some nervousness in the segment that typically is more sensitive to immediate market reaction, and that could potentially draw some conclusions of why we've seen some outflows. But to your point, this is a market or a segment that typically has a bit stickier assets. So I would say I would characterize this quarter, maybe more than what we usually see. But if I want to draw some conclusion, maybe the backdrop of the macro environment may have precipitated some decisions on that side.
Graham Ryding: And then just Lucas, a fairly large restructuring charge this quarter. Should we expect that line item of onetime integration, acquisition, restructuring charges, should we expect to be lower going forward?
Lucas Emilio Pontillo: Yes. And so to dissect that a bit, you had close to $7 million of that flow through the expense line. So that's $7 million out of the $10 million. And then just from a cash flow impact perspective, we took $5 million of that into the quarter, which was the cash flow impact on free cash flow. And then that balance of $2 million will effectively work its way through over the course of the next 12 months. So you have a bit of a divergence between the expense item and the cash aspect of it. But the majority of it was taken into the quarter from a cash perspective.
Operator: We have no further questions registered at this time. I will now turn the call back over to Natalie Medak.
Natalie Medak: We'd like to thank everyone for joining us this morning. Please reach out if you have any other questions. Sylvie, with that, we can end the call.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. At this time, we ask that you please disconnect your lines. Have a good weekend.